Operator: Good afternoon, everyone, and thank you for participating in today’s conference call to discuss Iteris’ financial results for its Fiscal Second Quarter ended September 30, 2012. Joining us today are Iteris’ President and CEO, Mr. Abbas Mohaddes; and the Company’s CFO, Mr. Jim Miele.
 Following their remarks, we’ll open the call for your questions. 
 Before we continue, we would like to remind all participants that during the course of this call we make forward-looking statements regarding future events or the future performance of the Company, which are based on current information are subject to change and are no guarantees of future performance.
 Iteris is not undertaking an obligation to provide updates to these forward-looking statements in the future. Actual results may differ substantially from what is discussed today and no one should assume that at later day, the Company’s comments from today’s call will be valid.
 Iteris refers you to the documents that the Company filed from time-to-time with the SEC, specifically the company’s most recent forms: 10-K, 10-Q and 8-K, which contain and identify important risk factors that could cause actual results to differ materially from those that are contained in any of the forward-looking statements. I would like to remind everyone that a webcast replay of today’s call will be available via the Investors section of the Company’s website at www.iteris.com.
 Now I would like to turn the call over to Iteris’ President and CEO, Mr. Abbas Mohaddes. Please go ahead sir. 
Abbas Mohaddes: Thank you, Amaryllis and good afternoon everyone. As you saw at the close of the market today, we issued a press release announcing financial results for our fiscal second quarter ended September 30, 2012. Our total revenue growth was mainly the result of a strong increase in Transportation Systems revenue, as we continue to penetrate the fast-growing segments within the intelligent traffic management market. Our contract backlog at September 30 was $37.9 million, and total Iteris’ backlog was $41.2 million, both of which reflects record backlog. We are encouraged by the prospect of continued growth.
 Additionally, we experienced improved profitability and a strengthened balance sheet in the current quarter. On a sequential basis, our total liabilities decreased by nearly $500,000 and our cash position remained the strong, increasing by $1.4 million to $20 million at September 30.
 I am also pleased to report earlier this week; we received $1.7 million from Bendix related to holdback provisions associated with our 2011 Vehicle Sensors sales, further improving our cash position. I am also pleased with the progress in our iPerform initiative as well as the market reaction to our new sensor products.
 But before I comment further, I would love to turn the call over to our CFO, Jim Miele who will take us through the details of our financial results for the quarter. Afterwards, I’ll return to discuss some more of the highlights for the quarter, and how we plan to build shareholders’ value as we continue to move through fiscal 2013 and beyond. Finally, we will open the call for their questions. Jim? 
James Miele: Thanks, Abbas, and good afternoon, everyone, and thank you again for joining us today. For the second quarter ended September 30, 2012, total revenues increased 8% to $15.5 million compared to $14.4 million in the year-ago quarter.
 Please note that our prior year results have been restated to reflect the divestiture of the Vehicle Sensors segment in July 2011. As Abbas stated the 8% increase in total revenues was primarily attributed to a 13% increase in Transportation Systems contract revenue, partially offset by a 7% decrease in Roadway Sensors net sales. Our Roadway Sensors segment experienced a particularly strong year-ago quarter. As there are different characteristics affecting each of our revenue streams and various attributes affecting our financial results, Abbas will provide more detail regarding our net sales and contract revenues later in his comments.
 Gross margin in the second quarter was 39.2% improving sequentially from 38.4% in the previous quarter, primarily as a result of the shift in its sales mix towards Roadway Sensors products and to a lesser extent, improved transportation system consulting margins. when compared to the same year-ago quarter, gross margin decreased from 41.7% primarily as a result in a shift in mix toward Transportation Systems contract revenues, which typically provide lower margins than our product revenues.
 Operating expenses increased 4% to $5.2 million, compared to $5 million in the year-ago quarter. It’s important to know however that the increase was primarily the result of a $375,000 adjustment in the prior quarter related to the reduction of contingent liabilities recorded in connection with the Meridian Environmental Technologies and the Berkeley Transportation Systems acquisitions. Excluding this adjustment, operating expenses decreased 3% when compared to the same year-ago quarter, which was primarily due to reduction in G&A.
 Income from continuing operations increased to $550,000 or $0.02 per share in the fiscal second quarter, compared to $108,000 or $0.00 per share in the same year-ago quarter. In the year-ago quarter, we recorded a valuation allowance to $734,000 against certain of our state net operating loss carryforwards resulting in an abnormally high effective tax rate. There were no similar adjustments in the current year period.
 In the year-ago quarter, we also reported a gain of $1.1 million net of tax on the sale of the assets of our Vehicle Sensors segment. Net income for the quarter was $550,000 or $0.02 per diluted share in the fiscal second quarter of 2013, compared to $1.3 million or $0.04 per diluted share in the same year-ago quarter.
 Please keep in mind that net income in the prior-year quarter benefited from the $1.1 million gain from the aforementioned Vehicle Sensors sale. Cash at September 30 was $20 million compared to $18.5 million at June 30, 2012, and we continue to carry no debt. As Abbas indicated, earlier this week, we’ve received an additional $1.7 million from Bendix related to certain holdback provisions of the Vehicle Sensors sale.
 We’ll account for these funds as a gain on the sale of these assets in our fiscal third quarter of 2012. We repurchased approximately 163,000 shares of stock in the second fiscal quarter bringing the total to approximately 1,045,000 shares repurchased, since the share repurchase program was initiated in August 2011 and then reauthorized by the Board in August 2012. As of September 30, 2012 we spent approximately $1.4 million in the aggregate through the share repurchase program.
 Finally, contract backlog at the end of the second quarter was a record high of $41.2 million. This included Transportation Systems backlog of $34.6 million, iPerform backlog of $3.3 million and Roadway Sensors backlog of $3.3 million. This compares favorably to $36.5 million at June 30, 2012 our last fiscal quarter, and $31.2 million in the year ago quarter.
 This concludes my prepared remarks on the financials, and now I would like to turn the call back over to Abbas, who will further discuss the quarter as well as our strategy as we continue to move through fiscal 2013. Abbas? 
Abbas Mohaddes: Jim, thank you very much. As I indicated in my opening remarks, we believe our company is solidly positioned to go after the intelligent traffic management market and believe our results have validated that we are on the right track. We attribute these results largely to our focus on specific segments within this market we believe are growing much faster than the traffic industry as a whole. These include Traveler Information/511 and performance measurement and management. Both of which involved application of technology to deliver intelligent, actionable, traffic information to traffic management operators and the traveling public. By penetration of these markets combined with our already established and growing consulting services and Roadway Sensors products should continue to transform Iteris into an intelligent traffic management market leader.
 In addition we are encouraged and enthusiastic about Congress passing the new Federal Highway Bill in early July this year. It directly references intelligent transportation systems or ITS related activities significantly more compared to the prior bills, in fact performance measurement is specifically discussed. As such the funding enables government agencies to include ITS technologies in infrastructure projects in order to enhance the traffic management systems. Our interpretation of the Bill is that the state and local agencies are expected to be able to streamline some of the traditional procedures and commence projects expeditiously.
 In addition the application and use of ITS technologies is expected to be eligible for many of the infrastructure improvements. Naturally, we anticipate this will directly benefit Iteris both in services and products. And we expect to begin generating revenues from related projects within next few quarters.
 We are also encouraged by the recent awards from the Federal Highway Administration or FHWA, which we announced earlier this month totaling approximately $80 million. Iteris will be competing with a small group of firms for a specific tax orders over the next 5 years. Our selection as one of the lead contractors is a testament for a strong relationship with FHWA, the expertise of our team, and the impact that intelligent traffic technologies can have on improving congestion.
 We expect to be awarded several of the tax orders over the 5-year period, and anticipate they will contribute to our revenues in a meaningful way. We continue to make substantial progress in Traveler Information/511. Our 511 technology provides the real-time traffic information systems that help commuters take optimal routes. We believe we are now a market leader in Traveler Information on 511 offering, the 10 states and 5 metros using our proprietary and actionable traffic intelligence.
 We expect several more awards as we continue to pursue similar programs in other states. Our Performance Measurement and Management segment or iPeform made significant progress during the quarter with new customer wins in both the freeway and arterial traffic analytics market.
 There has been significant progress also in the institution development activities. As you may recall, the iPeform group is focused on performance management solutions that provide customers with world-class traffic data analytics, prediction, and visualization capabilities. The product creates real-time, actionable traffic information that allows agencies to improve the transportation network performance.
 We expect to experience increased growth with this product offering, as the market of data analytics is anticipated to increase at a rapid pace and the market for performance based software solutions such as IterisPeMS should expand from its current public-sector orientation into the commercial traffic market, an area of focused investment for Iteris.
 Our confidence and success in this business segment has encouraged us to institute segment reporting, including the operating results of BTS with a prior internal activity. This reporting change underscores the opportunity for Iteris, and the higher expected marginal structure when compared to our base business.
 We expect to continue investing in this segment particularly in R&D and sales and markets. Through the quarter, we continued our road show where we visited many prospective customers and have been receiving positive feedback. Two new customer wins for iPerform segment included the Pennsylvania Department of Transportation and the federal contract. We expect that when combined, the 2 contracts should account for over $1 million in total revenues.
 We continue to expect initial software revenues from this initiative in our fiscal 2013, and plan to provide IterisPeMS as both as software-as-a-service and also as a traditional licensing model. We believe this market would expand significantly for the next 5 years. And we possess the technology and relationships to be a leader in this segment. Our bullish view extends from the government’s increased emphasis on accountability in transportation infrastructure expenditures. This was further substantiated by the new highway bill.
 In addition, we expect to broaden the end-user market for this game-changing software beyond the public-sector. We are in early discussions with several companies in the private sector and expect many synergies especially due to our software’s predictive weather and traffic data functionality.
 Now moving to roadway sensors, revenues decreased 7% over the same quarter last year. Revenue in this segment was particularly strong in the year-ago quarter as several of the stimulus funded projects were completed. In addition, a sizeable order we anticipated to receive and shipping Q2 has slipped, passed the end of the quarter.
 Internationally, we plan to focus on the staffing and distribution channel expansion, and expect to continue refining the products that address these markets, notably our Abacus and Pico products.
 We plan to consistently push ourselves to meet the challenges of the evolving traffic market, and expect our Vector product to be a very powerful and cost-effective solution for many especial applications that adapted traffic control systems. Since its first shipment over a quarter ago, we had been very pleased with its market acceptance.
 Additionally, our wide dynamic range cameras have become our top-selling cameras, as end-users increasingly see the image quality and system performance benefits offered by this product. Roadway Sensors posted a strong bookings in the second fiscal quarter up $7.6 million, up 7% sequentially from $7.1 million as reported backlog finished at $3.3 million, up 14% sequentially from $2.9 million.
 We expect the Roadway Sensors business to resume growth as we continue our channel building and product development efforts. As Jim noted Transportation Systems sales increased 13% over the prior year quarter, which was due in part to several significant project wins, and we signed $13.4 million in new contract awards during the second fiscal quarter, expanding our overall contract backlog to an all-time high of $37.9 million as of September 30, 2012.
 I would like to briefly comment on Transportation Systems and review our overall gross margin. Historically, Transportation Systems’ gross margin has been in the low-to-mid 30s range. Subconsultants have historically accounted for approximately 10% to 15% of contract revenues and normally provide only a 5% to 10% margin.
 In the second quarter, our subconsultant content increased beyond the normal range, which resulted in lower Transportation Systems’ margin. I don’t expect this to be a long-term trend. We expect our overall margins to stabilize and the subconsultant contracts as a percentage of revenue to decrease.
 In addition, we expect the margins on the Traveler Information contracts to improve as some of these contracts move into the maintenance phase. This fact was made adherence in the sequential gross margin improvement we realized during the quarter.
 Finally, we expect Iteris’ overall gross margin to gradually improve at the expense of software-based products and services. As specifically our Abacus and IterisPeMS software solutions are expected to generate higher margins than we have historically enjoyed.
 Therefore going forward, we anticipate an overall higher gross margin for the Company as we gained traction with these products. We will also remain opportunistic in our acquisition of strategy and plan to continue to look to acquire companies that either enhance our IP or position us in a new geographic location.
 As we move through the second half of fiscal 2013, we continue to believe, we are in a strong position to expect continued growth supplemented by further penetration of technology focused market segments. These high-growth segments should represent a perfect fit for our IP-centric, intelligent traffic management solutions.
 We plan to continue to invest in R&D and sales and marketing as well as pursue acquisitions to accelerate growth to lead the fast-growing intelligent traffic management information market.
 In summary, I am very enthused about Iteris as we continue transitioning the company to provide actionable information for the intelligent traffic management market. We plan to continue to execute on the strategy to operate in the fastest-growing segments of our industry.
 Now with that, we would be delighted to respond to your questions and comments. Operator? 
Operator: [Operator Instructions] And our first question comes from the line of Jeff Van Sinderen with B. Riley & Co. 
Jeff Van Sinderen: Abbas, you recently announced some large contract awards, which I think you referenced in your prepared comments. Can you talk more about those contracts and how you expect them to develop; I know you’re competing on those, maybe you can just frame that for us? And also maybe talk a little bit more about the new federal highway bill and what that means for you versus the prior bill? 
Abbas Mohaddes: Thank you, Mr. Van Sinderen. Yes, so the 2 awards totaling about $80 million are regarding your key focusing on the traffic operation and congestion management and our related activities in ITS. So the way that works is that they would either provide some of those past source stores or more likely providing those to the short list of the firms that are now shortlisted, and we would be competing for those. So I would envision that past orders within the next quarter or 2 would be flowing again, we’ll be competing, we would be receiving our fair share, and over the next 5 years, we’d be enjoying the benefits of the revenue generated by those. In the prior similar activities, we were a subconsultant to other firms, and this is the first time that we are quite pleased that the federal highway has selected us as one of their elite firms to do this work. And of course, that really has stemmed from our very good relationship with FHWA, as some of the work that we have done as of late that they have been very pleased with and they have pulled us so, which led us to believe that we would have a good chance to really go as a prime and compete with some very large firms and we are quite pleased that again, that we are selected for that. As for the Highway Bill, again, this particular award correlates directly with the passage of Highway Bill, and it will be financed by that.
 So we have several extensions and eventually, it was passed in July for $105 billion to go specifically to transportation industry over the next 27, 28 months. And we expect and anticipate that much of those types of contracts and many of them would be related to traffic management and congestion management for us to propose, and within the next few quarters to really enjoy some revenue as a result of that. The Federal Highway Bill is really a great shot in the arm, if you will for our entire industry, with the challenges that we have in funding, overall this is one that is already passed. The money is already spoken for and we know that over the next 2.5 years, this money will be flowing to companies to do and not only capacity enhancement type of projects, but quite a bit of ITS activities. So we are quite pleased about that. 
Jeff Van Sinderen: Okay. But it’s not just in other words, not just limited to this $80 million in contracts. So there should be a lot of other work, I would think that you’d get that’s derived from the Federal Highway Bill over the next several years. 
Abbas Mohaddes: Absolutely, this is just the initiation and initial activities and we would anticipate tremendous amount of request for proposals coming out that we would be partnering and leading and going after in an effort to really expand our backlog and expand our revenue. 
Jeff Van Sinderen: Okay, that’s great to hear. Can you update us on the Performance Measurement segment and the iPeMS development and marketing in these initiatives? 
Abbas Mohaddes: Yes. So on the marketing, we have begun visiting a large number of prospective customers and we are receiving actually quite a bit of positive reaction, and this is in the public sector that has been our core business so far. We also have done quite a bit of R&D activities and diligence in our capabilities and system integration. And so the 2 key activities that we are focusing, includes a predictive weather information and predictive traffic information. These are not only attractive to the public sector. We also believe they are also quite attractive to the private entities, variety of opportunities from system aggregators to media and so on. And it is our intention to work with these companies and offer our solution far beyond what we prudently enjoy in the public sector. So our optimism and bullishness really have stemmed from the opportunities that we have seen the discussions that we have had thus far with the prospective companies that are interested in these solutions. 
Jeff Van Sinderen: Okay, good. And then maybe you could talk a little bit more about the market reaction to the Vantage Vector product and what kind of traction you are starting to get with that? 
Abbas Mohaddes: Yes. So far we have sold a several dozens of these, which is aligned with what we were anticipating and predicting. It is really getting a significant traction. Obviously the POS are coming in and so the team is quite enthused, and it is not a surprise at all to us. When we were in the market, the research in this at that time, we thought that this really is type of a product that the market is demanding. and as we got into the testing and development that’s really respond, accelerated and to a point that we will literally had their folks lined up to really get the initial products and testing them and offering them this is our dealers I mean to the end users, and at the moment, we have several end users that are already enjoying the benefit of that. This was really a game changing activity in our industry. So traditionally, we were using video and this particular product expands on the safety attributes, I might have mentioned in previous calls. As you go through a traffic signal, sometimes you all of a sudden see a yellow indication that you wonder, should I go through or should I stop, and traffic engineers call that a dilemma zone, and what we have done in a hybrid vector, which combines really a proven video detection, with some enhancement with radar that you could actually manage seamlessly beyond the traditional length of what the video could see about 450 now to go about 600 plus feed, and we used that to really deal with this dilemma zone and the traffic engineers love it and it has a lot of positive attributes. So we anticipate more traction as we go forward. So quite an exciting product and thank you for bringing that up. 
Jeff Van Sinderen: Okay good. And then one final question. I’ll let someone else jump in. As I look at your backlog and I started thinking about how the second half of your fiscal year will play out. How should I think about revenues? Should I think that revenues would be up sequentially, and in the next couple of quarters just kind of build from here? And then also how should we think about gross margins for the second half? 
James Miele: Sure. So let me address the gross margin. So sequentially we improved the gross margin. Overall, I feel that the gross margin not only had stabilized, we have an opportunity to enjoy a good margin and possibly even improving upon it. As for the upcoming quarters, I hope that our record backlog and strong bookings in products, all of that is a good indication that we should continue to grow. I say that with the backdrop that third quarter is typically a lighter quarter for us traditionally, for weather conditions and in many states we’re under construction, and also due to less number of days, because of holidays.
 So overall, that’s a historical performance of the third quarter. Overall in the second half, I remained very optimistic that we’re going to build upon activities that we are doing, we anticipate more revenues from iPerform. I truly anticipate and expect gradually the federal bill revenues to kick in. So I am quite bullish about the upcoming several quarters. I feel that we have now established a platform being in really a fastest growing segments of our industry that we have positioned ourselves to really continue this growth. 
Jeff Van Sinderen: Okay. And your Roadway Sensors segment, I believe you said the backlog is up there, I know was a difficult comparison in Q2, but the comparison starts to get easier in Q3. So should we think that there is an opportunity to begin growing the Roadway Sensors segment again in Q3? 
Abbas Mohaddes: Well, I would put it this way Mr. Van Sinderen. That if we didn't continue grow in Roadway Sensors, I would be very disappointed. 
Operator: And I am showing no further questions at this time, I’d like to hand over to Mr. Abbas Mohaddes for any closing remarks. 
Abbas Mohaddes: We appreciate everyone’s support and thoughtful questions and we look forward to updating you again on our continued progress. Thank you all. 
Operator: This concludes today’s call. Thank you, ladies and gentlemen for joining. Thank for your participation, and you may now disconnect.